Operator: This is the conference operator. Welcome to the Avino Silver & Gold Mines’ First Quarter 2016 Earnings Call, taking place on May 17, 2016 at 8 AM Pacific Time. As a reminder all participants are in listen-only mode, and the conference is being recorded. After the presentation there will be an opportunity to ask questions. [Operator Instructions] At this time I would like to turn the conference over to Charles Daley, Corporate Communications. Please go ahead.
Charles Daley: Thank you, operator. Good morning everyone, and welcome to the Avino Silver & Gold Mines' first quarter 2016 financial results conference call. On the call today, we have the company’s President and CEO, David Wolfin; as well as our Chief Financial Officer, Malcolm Davidson; and one of our Directors, Mr. Jasman Yee. Before we get started I’m required to remind you that certain statements on this call will include forward-looking information within the meaning of applicable Securities Laws. These may include statements regarding Avino’s anticipated performance in 2016 and future years, including revenue and cost forecast, silver and gold production, grades and recoveries, and the timing of expenditures required to develop new mines in mineralized zones. The company does not intend to, and does not assume any obligation to update such forward-looking statements or information other than as required by applicable law. Thank you. With that I’ll now turn the call over to Avino’s President and CEO, Mr. David Wolfin.
David Wolfin: Thanks Charles, and welcome everybody. I’d like to thank you all for joining us here today. During this call I will cover the highlights of this morning news release and financial and operating performance during the first quarter of 2016 compared to 2015. I'll then open up the call for Q&A to address any questions you may have. Before we get into financial results I want to preface the discussion by letting you know that the details relate only to the sale of San Gonzalo mine concentrate, as we have not yet declared commercial production at the Avino mine. Additionally, all of the financial figures are based on production from January and February only. We signed a new agreement for the sale of San Gonzalo mine concentrate in March. The new agreement has a slightly different shipping schedule, meaning that March concentrate was not shipped by the end of the quarter and will be accounted for in our Q2, 2016 financials instead along with the proceeds from April and May. Despite this we were still profitable. Revenue from mine operating for the quarter was $2.8 million compared to $4.3 million during the comparative quarter last year. As I mentioned this was only for the sale of San Gonzalo concentrate during January and February. Proceeds from the sale of Avino concentrate totaled $5.6 million, but was recorded as a recovery of exploration and evaluation expenses rather than revenue this quarter. Proceeds from the sale of Avino concentrate will be reported as revenue when management has made a production decision. The mine plan calls for 20 to 24 month of development which began in Q4 of 2014. So we are getting close. Additionally, we announced in our April 11 news release that underground mining commenced on April 1 on the upper level 11.5 using the long hole sub-level caving method, indicating that we were beginning to transition out of the development phase. Moving on, mine operating income was $1.8 million compared to $2.1 million last year. This figure was also affected by the new agreement for the sale of San Gonzalo concentrate. Our teams in Mexico and Canada have done an excellent job of monitoring and reducing costs. With stronger metal prices we anticipate improved profitability in future periods. Our realized silver price increased by 1% from US$16.22 to US$16.42 per ounce sold. Our realized gold price also increased by 1% from US$11.88 to US$11.94 per ounce sold compared to the first quarter last year. Earnings for the quarter before income taxes were $948,000 compared to $1.2 million in Q1 last year. Net income in the quarter after taxes was $58,000 compared to $376,000 in Q1 last year resulting in earnings of nil per share down from $0.01 last year. Our consolidated all-in cash cost for the quarter was $11.29 or US$8.22 compared to $12.36 or US$10.09 for Q1 last year, a decrease of 9%. Again these costs relate only to San Gonzalo for the months of January and February. Our cash and cash equivalents decreased by 19% from December 31, 2015 to $6 million. During and subsequent to the quarter Avino has been strategically using its ATM to raise capital to advance its projects. We will continue to maintain a strong balance sheet which will keep us well positioned for expansion and new opportunities. Now on to operations; I'm pleased to report that we delivered another quarter of comparative production growth, thanks to the hard work of our teams in Mexico and Canada. Silver production increased by 11% to 403,447 ounces. Gold production decreased by 14% to 1,497 ounces and copper production was up 55% to 1.4 million pounds. As a result, silver equivalent production was up 14% to 716,000 ounces. At Bralorne, in conjunction with North Ireland College, the government and First Nation's completed a four month long underground mining training program for 12 students from the St'at'imc First Nation's Community around Lillooet. Following three months of classroom instruction, Bralorne provided support and access to the mine site for hands on training. All 12 students graduated the program with a number of industry certification tickets which will help towards Bralorne's long-term goals of enhancing local labor force. Operationally, we are currently in the process of obtaining permits from the Ministry of Energy and Mines and Ministry of Environment and we'll resume the operations as soon as permits are in hand. Now let's move on to the outlook for the rest of 2016. Management remains focused on the following key objectives; maintain improved profitable mining operations while managing operating cost and achieving efficiencies; advance the Bralorne project towards profitable production; explore regional targets on the Avino property, followed by other properties in our portfolio; assess the potential for processing oxide tailings resource from previous milling operations and identify and evaluate potential projects for acquisition. We would now like to move the call to question-and-answer portion operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question is from Bhakti Pavani of Euro Pacific Capital. Please go ahead.
Bhakti Pavani: Good morning guys. Just curious…
David Wolfin: Good morning, Bhakti.
Bhakti Pavani: Just curious how big of a shipment was delayed into Q2?
David Wolfin: It was the month of March production which was Jasman…
Jasman Yee: Typically it’ll be around about 200 tonnes, 200 metric tonnes grading above 7,500 kilograms silver and around about 25 to 30 grams per tonne gold.
Bhakti Pavani: Okay, also with regarding to the CapEx spend how should we look for the expenditure over the remaining of 2016?
David Wolfin: Well, we've acquired most of the equipment we need for both operations. We have our new tailings facility that we’ll be looking at later in 2016 and 2017. We’re still working on the CapEx, but we anticipate it to be between $2 million and maybe $3.5 million perhaps less. We have a new production jumbo [ph] on the way to Mexico, which is about a $1 million. But as far as the Avino operation is concerned we’re not expecting to make too many more capital purchases. On the Bralorne side we’re still evaluating mine plans and that will indicate what type of [indiscernible] test long hole program. And we’ve already acquired the necessary equipment for Bralorne, that was two scoops and a loader in 2015. But till the operation is up and running we’ll be very - keeping the capital expenditures to a minimum.
Bhakti Pavani: Fair enough. Given the uptick in commodity prices have you guys thought up any budget for the exploration for San Gonzalo? If at all.
David Wolfin: We’re drilling right now.
Jasman Yee: Absolutely we’re drilling on it right now.
Bhakti Pavani: So should we be expecting an updated resource estimate anytime soon?
Jasman Yee: Yeah and we’re also - we’ve commenced doing new resource estimate which will come out this summer sometime.
Bhakti Pavani: Okay perfect. But regarding to the new sales agreement is that the sales agreement related to Samsung or is it some other client?
David Wolfin: It is with Samsung. Normally we don’t make disclosures about who we sell our product to. We did with the Avino Mine because it was a term facility associated with it. But we have - it’s a much shorter term but yeah, we will be selling San Gonzalo product to Samsung for a few months.
Bhakti Pavani: Okay and also with regards to shipment is it exclusively the San Gonzalo concentrate or it does include the stockpiles?
David Wolfin: Do you mean the historic stockpiles?
Bhakti Pavani: Yes.
David Wolfin: Well at the moment we’re not doing anything with the historic stockpile. So it's just San Gonzalo and the Avino concentrate.
Jasman Yee: The Avino Mine is feeding Circuit 2 and 3 right now. So roughly 1,200 tonnes per day is processing Avino material and Circuit 1 is doing San Gonzalo.
Bhakti Pavani: Also I know you guys have a new contractor that started work on April 1. Would you provide some more color on how things are shaping up and should we be expecting a production decision soon?
David Wolfin: I think so, to answer your question we have new mining contracted that started in early April for a production mining which is - let me generally check the reason why we brought in the contractors we’re waiting for a new production jumbo which was being delayed from Sweden. So we’ve decided to speed up the process and we brought in a contractor for track drills [ph].
Jasman Yee: So that mining has been going on for four to six weeks and we’re currently in the process of analyzing the economics to see how that blends into our decision for the production decision.
Bhakti Pavani: Any kind of timeline that you have in for us?
David Wolfin: I'd like to say it's going to be in Q2. But we need to review the results and make sure they are consistent with what our expectations are for the ET mine. We are very optimistic, but we need to complete our evaluation first.
Bhakti Pavani: Okay. That's it from my side. Thank you very much guys.
David Wolfin: Thanks Bhakti.
Jasman Yee: Thanks Bhakti.
Operator: The next question is from Michael Wichterle of Cantor Fitzgerald. Please go ahead.
Michael Wichterle: Hi guys. Congrats on the results. I'll keep it short. Just two quick questions. Is there anything in terms of guidance you can provide just for the year either in terms of production or in revenue? And secondly I may have missed this but would have any sort of time on in terms of the declaration of commercial production at Avino? Thanks very much.
David Wolfin: The production is consistent with last year. So we are hoping to duplicate about 3 million ounces of silver equivalent.
Jasman Yee: On the production decision as I just mentioned with Bhakti we're reviewing some of the economics from the new mining contractor that's sort of working with us in April. That will be significant piece to evaluate in making the production decision which we expect in the coming months.
Michael Wichterle: Very good. Thanks very much.
David Wolfin: Thank you.
Operator: The next question is from Michael Hebner of IFS Securities. Please go ahead.
Michael Hebner: Yes, the Samsung contract, I was in and out of the conference call, do you have more color on the total dollar amount and the time frame of this and it's for all your production from both mines?
Jasman Yee: That's correct. The two agreements, the sales agreements are very different. The agreement we did with Samsung for the sales of ET concentrate had a term facility associated with it. There isn't anything like that with San Gonzalo sales. It's just a straight sales agreement with preferable terms for one year.
Michael Hebner: What was the dollar amount we received for that or what's the - what are we getting in?
Jasman Yee: There is no additional term facility or financing associated with the sale agreement for the San Gonzalo material and nothing at this time this changed with the existing term.
David Wolfin: Yeah, we get paid every month at whatever the price of metals are.
Jasman Yee: Yeah, it's very similar to the way we've sales in the past. The only thing that was different this quarter was the shipping terms. So they just one time one month deferral and that's the only difference.
Michael Hebner: So we didn't ship because of some shipping change and that's where it messed up the quarter?
David Wolfin: Yeah, basically it's just the shipping term. So it's a one-time event. So going forward each quarter will have...
Jasman Yee: We had basically an auction. So we have to review all the different participants and it took a little longer to review to pick the best one. And Samsung beat everybody.
David Wolfin: Yeah. It's essentially to get preferable sales terms we had to make a compromise and delay a shipment for basically just over quarter end.
Michael Hebner: So would that mean we have like four months in this next quarter or no?
David Wolfin: No.
Jasman Yee: No.
David Wolfin: No, basically next quarter you'll see production from March, April and May and then Q3 it will be May, June, July and so on. But it will always be three months.
Michael Hebner: Okay.
David Wolfin: But on the bright side by having this deferral of one month we are getting more favorable pricing. So that's good.
Michael Hebner: Thank you.
David Wolfin: Thanks for the question.
Operator: [Operator Instructions] The next question is from Jake Sekelsky of Rodman & Renshaw. Go ahead please.
Jake Sekelsky: Hey guys, thanks for taking my question.
David Wolfin: Hey, Jake.
Jasman Yee: Hi, Jake.
Jake Sekelsky: Just quickly on Bralorne, do you guys have any sort of time frame for receiving the permits as far as restarting activities up there?
David Wolfin: That's too hard to predict. But we feel it will be this year sometime. We are going back and forth with the different industries and so we are working on it. It's pretty difficult to predict.
Jasman Yee: We've been putting every effort forward to provide the government what they need to make a decision. But they just move very, very slowly here.
David Wolfin: Yeah. Since the [indiscernible] disaster they have really slowed down this process. But we were able to expedite it in the way by working with the First Nation as part of the process. So the Deputy Minister of Mines was commending us for doing that. So we're pretty happy about that. And during the year we've submitted a new mine closure plans or we're in the second round of questions and answers. I don't expect it will go too many more rounds. So they should be satisfied and we should get the permit.
Jake Sekelsky: So it's fair to say that we probably should get some greater visibility towards the second half of this year then?
David Wolfin: Yes.
Jake Sekelsky: Okay, awesome. Thank you guys.
David Wolfin: And come take a trip up there.
Jake Sekelsky: Will do. Thanks a lot guys.
David Wolfin: Okay, thanks a lot Jake.
Operator: There are no more questions at this time. I will now hand the call back over to David Wolfin for closing remarks.
David Wolfin: Just want to thank everybody for taking the time to call here today and we wish you all well and we're really thrilled about the future potential and keep an eye on us. We've got the commercial production decision coming and a new resource estimate which should give us proven and probable reserves. So there is lots of good news coming and thank you again.
Operator: This concludes today's conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.